Operator: Hello, ladies and gentlemen, and thank you for standing by for JinkoSolar Holding Company Limited’s third quarter 2012 earnings conference call. [Operator instructions.] I would now like to turn the meeting over to your host for today, Mr. Sebastian Liu, JinkoSolar’s investor relations director. Please proceed, Sebastian.
Sebastian Liu: Thank you, operator. Thank you all for joining us today for JinkoSolar’s third quarter 2012 earnings conference call. The company’s results were released earlier today and available on the Company’s IR website at www.jinkosolar.com, as well as on the newswire services. We have also provided a supplemental presentation for today’s earnings call, which can also be found on the IR website. On the call today from JinkoSolar are Mr. Chen Kangping, chief executive officer; Mr. Arturo Herrero, chief marketing officer; and Mr. Zhang Longgen, chief financial officer. Mr. Chen will discuss JinkoSolar’s business operations and the company’s highlights, followed by Mr. Herrero, who will talk about the company’s business strategies. And Mr. Zhang will go through the financials and guidance. They will all be available to answer your questions during the Q&A session that follows. Please note that today’s discussion will contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, our future results may be materially different from the views expressed today. Further information regarding this and other risks is included in Jinko’s public filings with the Securities and Exchange Commission, including its annual report on the Form 20-F for the fiscal year ended December 31, 2011, filed with the Securities and Exchange Commission on April 25, 2011, and amended on May 10, 2011 and other documents filed with the US Securities and Exchange Commission. JinkoSolar does not assume any obligation to update any forward-looking statements except as required under applicable law. Please be noted that to supplement its consolidated financial results presented in accordance with the United States Generally Accepted Accounting Principles, or GAAP, JinkoSolar uses certain non-GAAP financial measures. The company believes that the use of non-GAAP information is useful for analysts and investors to evaluate Jinko’s current and future performances, based on a more meaningful comparison of the net income and diluted net income per ADS, when compared with its peers and historical results from prior periods. These measures are not intended to represent or substitute numbers as measures under GAAP. The submission of non-GAAP numbers is voluntary and should be viewed together with GAAP results. It is now my pleasure to introduce Chen Kangping, CEO of JinkoSolar. Mr. Chen will speak in Mandarin and I will translate his comments into English. Please go ahead Mr. Chen.
Chen Kangping: Thank you, Sebastian. Good morning and good evening to everyone, and thank you for joining us today. I’m encouraged by our stronger performance this past quarter, as we continue to benefit from our strategic focus and cost reduction and geographical diversification of sales. Strong sales in China, in particular, compensate for the weakness in more traditional solar markets, despite the global economic softening that we have seen over the past few quarters. I believe that we have turned a corner operationally and financially, as we continue to focus on our core business and work to advance our industry-leading position. Through the implementation of this strategy, we achieved total shipments of 335.2 megawatts of solar product during the third quarter, representing a sequential increase of 302.1 megawatts in the second quarter of 2012, of which 280 megawatts were solar modules. Total revenue was $221.1 million U.S. dollars, or RMB1.4 million, representing an increase of 12.2% from the second quarter of 2012. This strong performance is the result of strong sales and our increasing push to maintain our industry-leading position in terms of cost structure by improving efficiency without sacrificing the quality and the performance as our modules are well known for. In terms of cost, we successfully managed to bring down our blended silicon costs to around $0.12 per watt, and reduced non-silicon costs to $0.27 per watt in the third quarter from $0.52 in the second quarter, already achieving our year end goal. We were able to achieve the third consecutive quarter of increased gross margin and reduced net loss as we make our way back to profitability. Gross margin improved to 9.9% in the third quarter compared to 8.4% in the second quarter of 2012. Our brand image continued to improve, along with the quality of our product and services, which was confirmed when our testing facility received certification from the China National Accreditation Service, industry leading quality controls. Likewise, our relationship with customers supporting growth continued to deepen, especially in China, where the strong momentum will continue, with shipments surging 117% quarter-over-quarter. We believe this is a testament to our position as a market leader, domestically as well as internationally. The investment we have made in our relationship with Chinese state-owned enterprises has proven successful, with multiple shipments this past quarter, including 40 megawatts to China Power International, 30 megawatts to China Guangdong Nuclear, and 50 megawatts to China Three Gorges, many of them repeat orders. With Europe getting weaker, our global presence expanded, as we diversify our risk and seek out new opportunities in emerging markets. Shipments to Germany, France, and Spain were weak this past quarter, further underlying the need for diversifying away from what had been a traditionally large market for us. Our stronger performance in the third quarter successfully mitigates the downturn and I’m confident that we will continue to do so. We’re now focused on Asia-Pacific, Eastern Europe, South Africa, and South America, where we will be able to leverage our strategy to the different environments and conditions of our diversified markets and locations to nurture long term relationships as we have demonstrated in China. Despite the difficult circumstances in the United States, the final decision was partially favorable to us, and we remain fully committed to our customers there. We now have more than 151 customers active in 25 countries. China continues to provide increasing opportunities for our downstream business, and looks to be increasingly lucrative for us as [unintelligible] price, modules and construction [expenses] have eased up, along with the assurances that stable feed-in-tariffs provide. Our projected revenue in the EPC business pipeline is showing increase strength, with three projects in Northwest China on the verge of beginning construction. Having worked diligently during the first half of the year, we have already begun to see benefits from one of our EPC projects during the quarter. With the government’s recent announcements of new [unintelligible] and building [integrated] subsidy plans, we expect our downstream business to increase in scale and profitability through the finish of 2012 and push forward into 2013. This was preceded by the announcements from the Chinese Energy Administration and Chinese Financial Ministry to support distributed PV systems. We have shown our flexibility to the rapidly changing marketing environment created by these two announcements, and have rapidly deployed resources to take advantage of the opportunity that will emerge. I believe that solid demand over the long term remains [unintelligible] and we are particularly well-positioned to lead the industry in the recovery, given our strong balance sheet, competitive cost structure, efficient assets, and wide-reaching global presence. This stronger financial and operational performance validates our strategy as we turn this corner, and we look forward to taking advantage of our strengths to achieve future sustainable growth. For the fourth quarter of 2012, we expect total module shipments to be in the range of 250 megawatts to 300 megawatts. We reaffirm our full year 2012 guidance for total solar market shipments and expect it to be in the range of 800 megawatts to 1000 megawatts and total projected development scale is expected to be in the range of 100 megawatts to 150 megawatts. The company expects that in-house annual silicon wafer solar sales and solar margin production capacities will remain at approximately 1.2 gigawatts each by the end of 2012. Arturo Herrero, our chief marketing officer, will now discuss our major achievements in sales and marketing for the third quarter in further detail, as well as our strategy and market outlook for the fourth quarter in key countries and regions. Thank you, everyone.
Arturo Herrero: Thank you, Mr. Chen. Good morning and good evening to all of you. Our achievements in Q3 reached a total quantity of 335.2 megawatts, and our revenues increased by 12.2%, thanks especially to our success in China and to a lesser extent in other emerging markets. We continue to make good progress in terms of geographical diversification away from our traditional markets in Western Europe and in terms of customers, with 151 customers in 25 countries, up from 140 in 20 countries in the previous quarter. Equally important, our top 15 customers now account for only 50% of our sales, down from 63% in Q2 and 80% in Q1 this year. It is a good improvement in spreading the risk from a few customers. As expected, Europe proved to be down during Q3, after initially strong sales in Germany in Q2, ahead of the announcement of the reduction in the feed-in tariff, the cancellation of subsidies in markets such as [unintelligible] and Belgium, and the temporary delay in the starting up of projects in France, which we now expect to happen during Q4. This, however, was offset by our strong performance in the Chinese market. Overall, we continue to face substantial oversupply and aggressive competition, resulting in a further drop in PV module market prices. However, we believe that [unintelligible], strong balance sheet, high [bankability], and broad recognition, we can weather these adverse conditions until better times return, which we are convinced will be before the end of next year. We are seeing signs of improvement in some of our European markets in Q4, such as Germany, France, and some of the Scandinavian countries. Demand for our products has been firming up in Germany during this quarter, Q4, and we will start booking revenues from delayed projects in France during this period, mainly from our biggest and loyal partner, Solar Direct. In Eastern Europe, [unintelligible] have disappointed this past quarter, as project developers have found it difficult to obtain financing. In summary, as many European governments continue to retreat from historically very generous subsidies and bank financing remains tight, we have continued to partially transition from large [unintelligible] projects to residential installations and increased our focus on emerging markets. Our strategic focus on China over the past quarters has continued to pay off as our domestic shipments reach record volumes and I expect it to remain strong into Q4. We are on track to achieve over 200 megawatts for the second half of this year, as we mentioned in our Q2 earnings call. We expect our efforts in emerging markets to be successful in the coming quarters, especially in markets such as India, South Africa, Australia, Canada, and Latin America. In South Africa, as previously announced, we have been selected for several projects in the first and second round of the public tender for PV solar’s largest scale projects. Our first project will be the largest to date on the African continent, with a size of 81 megawatts. Financial closure for this project was reached two weeks ago, and we will start delivering 9 megawatts per month starting in February 2013, a little later than previously announced. Latin America remains appealing, if only a bit slower than expected. We continue to see reasonable growth opportunities and we expect to start materializing in 2013 in countries such as Chile, Brazil, and Mexico. In line with our planned and focused expansion and diversification strategy, we continue to strengthen our global sales and marketing teams, while closely controlling our costs. We are especially reinforcing our presence in the Asia-Pacific, South African, and South American markets. We are continuously growing our market share, reaching over 3% in the major 15 PV countries, and keeping our position as top six of the worldwide [unintelligible] module producers according to the IMS Research Institute. Regarding marketing, our strategy has been aligned from the beginning to reach an achievable goal of broadening our brand recognition around the world, particularly in the various important markets of Europe, Asia-Pacific, Africa, and the U.S. markets, while controlling our budget and spending much less than our peers. Valencia Football Club is still successful in the European Champion’s Cup against all major European football clubs. During the third quarter, we actively attended PV exhibitions in Israel, USA, and Australia. Additionally, we also attended [unintelligible]. We are also attending, in the USA, in Orlando, ESPI, and in San Francisco. In Q4, we will be attending major PV exhibitions in France; Canada, in Ontario; Japan; and Australia. We are seeing results from the Jinko VIP program called Priority Solar Club, that focuses on its strategic partners to increase royalties from our most important customers. More than 50 customers have already registered, and are already enjoying the benefits of being our VIP partners. We are seeing great interest in our second-generation solar modules called the WING series. It is a PV module designed for roof installations - lighter, thinner, and with higher efficiency. And we expect, during the next quarter, to be very successful. We have maintained an effective and successful communication, PR, and branding effort reinforcing our message and being consistent with our slogan. [unintelligible]
Zhang Longgen: Thank you. Good morning and good evening to everyone on the call. First, I would like to walk you through our financial results for the third quarter of 2012, followed by fourth quarter and full year 2012 guidance. As Mr. Chen mentioned earlier, total solar product shipments in the third quarter of 2012 were 335.2 megawatts. Total revenues in the third quarter of 2012 were $221.1 million, an increase of 12.2% sequentially and a decrease of 22% year over year. The sequential increase was primarily due to the increase in the sales volume of the company’s solar modules, which was partially offset by the decline in ASPs of the company solar modules. Gross margin was 9.9% in the third quarter of 2012, compared with 8.4% in the second quarter of 2012 and 3.7% during the same period last year. In house gross margin relating to in house silicon wafer, solar cell, and solar module production was 12.6% in the third quarter of 2012 compared with 11.2% in the second quarter of 2012 and 18.4% in the third quarter of 2011. Gross margin and in-house gross margin improved from the second quarter of 2012 primarily due to the reversal of prior provision of [RMB]9.9 million for [unintelligible] and [unintelligible] duties in the U.S. Loss from operations in the third quarter of 2012 was $8.2 million, compared with the loss from operations of $13 million in the second quarter of this year and the loss from operations of $30.9 million during the same period last year. Total operating expenses in the third quarter of 2012 were $30.1 million, an increase of 1.5% sequentially and a decrease of 27.1% year over year. The company’s operating expenses represented 13.6% of its total revenue in the third quarter of 2012, representing a decrease from 15% sequentially and a decrease from 14.8% year over year. Operating margin in the third quarter of 2012 was negative 3.7%, compared with negative 6.7% in the second quarter of this year and negative 11.1% during the same period of last year. Net interest expense in the third quarter of 2012 was $8.2 million, a decrease of 5.6% sequentially and an increase of 4.5% year over year. We recorded a foreign currency exchange gain of $7 million in the third quarter of 2012 primarily due to the exchange gain of $7.8 million and the loss in sales value of forward contracts of $0.8 million. We recognized a loss of $1.1 million in change of fair value of convertible senior notes, and the [unintelligible] core option during the third quarter of this year. The company recognized income tax expenses in the third quarter of 2012 of $0.2 million. The company recognized an income tax benefit in the second quarter of 2012 of $1.6 million and income tax expenses of $0.2 million during the same period of last year. Net loss in the third quarter of 2012 was $8.7 million compared with a net loss of $48.9 million in the second quarter of this year and a net income of $10.7 million in the third quarter of last year. This translates into basic and diluted loss per ADS of $0.39. Non-GAAP net loss in the third quarter of 2012 was $4.4 million, compared with non-GAAP net loss of $46.8 million in the second quarter of this year and a non-GAAP net loss of $38.9 million in the third quarter of last year. This translates into non-GAAP basic diluted loss per ADS of $0.20. As of September 30, 2012, the company had $54.9 million in cash and cash equivalents. Operating cash flow in the third quarter of 2012 was $24.2 million. Cash expenditures during the quarter were $4.4 million. As of September 30, 2012, total short term borrowings, including the [current posting] of long term banking volumes $341.4 million compared with $366.5 million as of June 30, 2012. Total long term borrowings were $43.8 million as of September 30, 2012, compared with $43.3 million as of June 30, 2012. As of September 30, 2012, the company’s working capital deficit was $165.4 million, compared with a deficit of $174.7 million as of June 30, 2012. Now, let me turn to our guidance. From the first quarter of 2012, we expect total solar module shipments to be approximately 250 megawatts to 300 megawatts. We expect the company’s in-house [unintelligible] silicon wafer, solar cell, and solar module production capacity to be approximately 1.2 gigawatts by the end of the year. At this moment, we are happy to take your questions. Operator?
Operator: Thank you, Sir. [Operator instructions.] The first question comes from the line of Satya Kumar from Credit Suisse. Please ask your question.
Satya Kumar - Credit Suisse: Did you say that you had a benefit in Q3 from the reversal of the anti-dumping charges? Can you repeat that number again?
Zhang Longgen: Yes, I think basically the reserve figure is higher than the final results come out. [$9 million]
Satya Kumar - Credit Suisse: Okay. So the 9.9%, the total gross margin, includes the benefit of reversal, right?
Zhang Longgen: Yes. Correct.
Satya Kumar - Credit Suisse: I thought your results were pretty good, especially compared to some other people who are reporting. How much benefit are you getting from China? Maybe you can say how many megawatts you plan to ship to China-based projects in 2012? What do you think that can do in 2013? And just for reference, how many megawatts did you ship in 2011?
Zhang Longgen: I think for Q3, our shipments, more than 50% is shipped to China. And we will continue our forecast on the Chinese market. I think for next year, definitely we will keep that tendency.
Satya Kumar - Credit Suisse: So basically 50% of this year’s second half is China? How much is 2012 overall? Is it about 300 megawatts for China this year?
Arturo Herrero: Can I give the information for the distribution of different countries? So far, in China we expect over 200 megawatts, but it has been mainly during the second half of the year. So in total we’ll be around 200 megawatts on sales. And then we have some megawatts that we did not recognize, because this is for our own development of projects in China, and they are our own [EPC].
Satya Kumar - Credit Suisse: Okay. How about 2013?
Arturo Herrero: In 2013 the market still will be important, but we will keep our geographical diversification quite prudent in order to make sure that we have enough allocation of production for other countries like South Africa, India, Asia-Pacific, and also Europe and USA.
Zhang Longgen: Our chairman is very confident. He thinks still 50% will come from China.
Satya Kumar - Credit Suisse: 50% of total shipments?
Zhang Longgen: Yeah, for next year. Including modules and EPC [unintelligible]. The module may be around 400 megawatts.
Satya Kumar - Credit Suisse: Okay, and EPC would be a couple of hundred megawatts?
Zhang Longgen: At this moment. Maybe it’s too early, but we only can say the total revenue will come from both module and EPC with more than 50%. And now we give you the detail guidance for next quarter.
Satya Kumar - Credit Suisse: Understood. And then Arturo, I think you gave a good overview of all the international markets. I didn’t quite catch if you mentioned something specifically on the Middle East and Japan. Apparently there are some large Middle Eastern projects, the one in Dubai. I was wondering if you were participating or bidding for some of those projects activities in the Middle East?
Arturo Herrero: We are, in fact, in several big tenders for big projects in the Middle East. However, it’s too early to comment on that, until our partners, who are the developers, don’t get selected for this project in the final stage. But we will have good chances to win good [unintelligible] projects in that area, in the Middle East. But also, as you know, we are focused a lot in real contracts, already being implemented, in South Africa, that will start by February, for the 81 megawatts. And also some big projects in India that also we have been signing in Q4 that will start by Q1 next year. In Japan, it’s much more complicated, but also we are starting with good improvements. So we will see Japan slowly ramping up in the next coming quarters.
Satya Kumar - Credit Suisse: And then on the cost side, you mentioned you have $0.47 of nonsilicon costs. It looks like your utilization rate is slightly lower than 100%. Is your nonsilicon cost meaningfully affected by the lower utilization rate? And my last question is, what is your depreciation expense in Q3?
Zhang Longgen: In Q3, the nonsilicon costs, $0.47, is also including the utilization. So for Q3 it is around 75%-80%, roughly. So basically, the cost is already including that. What’s your second question?
Satya Kumar - Credit Suisse: What is the depreciation?
Sebastian Liu: In the total cost, $0.47, $0.05 is depreciation cost right now.
Operator: The next question comes from the line of Vishal Shah from Deutsche Bank. Please ask your question.
Vishal Shah - Deutsche Bank : I wanted to ask you about your margin outlook for the fourth quarter. I’m not sure if you already talked about it. How should we think about that Q for margins? And what kind of cost targets do you have for Q4?
Zhang Longgen: Basically for this quarter, third quarter, our actual gross margin is 9.9%. And that’s also including one single anti-dumping reversion, [RMB]29 million. So our vertical integrated gross margin is almost 12%. So this is very consistent with the last quarter. But this quarter also, our ASP is $0.68. We think the ASP for the fourth quarter will further go down, maybe to 5-10%. Right now it’s just in a range. So we should see gross margin definitely positive, and between 0-6%.
Vishal Shah - Deutsche Bank : And then you said 400 megawatts of China shipments next year?
Zhang Longgen: Yeah, next year.
Vishal Shah - Deutsche Bank : Then China will be making up more than 50% of your volumes? So your volumes will be down next year?
Zhang Longgen: First of all, right now it may be too early answer for next year. But I can give you briefly information. For pure module selling, we may be selling more than 400 megawatts, but we also do EPC. We also do solar projects. So the total revenue from China will be more than 50%. So right now, for example, this quarter, almost 7% comes from EPC projects. $221 million. Our EPC project revenue is coming. For example, in Q3, the EPC is 7%. The module is 85%. So [unintelligible] sale is around 7%. So EPC progress is coming. Next year it’s also possible you’ll see the solar projects, the solar power plant we may also be selling. So to me it’s too early to give you a figure for next year.
Vishal Shah - Deutsche Bank : Okay. Now, you said your cash position in the quarter was $54 million, including restricted cash?
Zhang Longgen: Yes.
Vishal Shah - Deutsche Bank : What was the number last quarter? 
Zhang Longgen: Last quarter was around $73 million. But you have to look at our cash flow, because this quarter we paid off the banking loan. It’s a lot of money. I think cash flow for the [financing], we paid almost $99 million, the loans. For the financing cash flow. The loans and interest.
Vishal Shah - Deutsche Bank : And this is local banks?
Zhang Longgen: Yeah, this is local banks. I think the short term bonds. We are working right now on medium terms of bonds right now.
Vishal Shah - Deutsche Bank : So your cash from operations was $24.2 million, your cash reduction was about $20 million. You paid about $100 million of bonds?
Zhang Longgen: We will check. I think the operating cash flow is wrong. It should be [$68] million for this quarter.
Vishal Shah - Deutsche Bank : Operating cash flow was $68 million in Q3?
Zhang Longgen: Yeah.
Vishal Shah - Deutsche Bank : And can you maybe talk about what contributed to that? Were you able to reduce your inventory after keeping utilization rates at 80%?
Zhang Longgen: For Q3, I think the utilization is around that. For Q4, the utilization may continue the same, or a little higher.
Vishal Shah - Deutsche Bank : I’m just trying to understand what contributed to $68 million of operating cash flow in Q3?
Zhang Longgen: Oh, for the operating cash? First of all it comes from accounts payable.
Vishal Shah - Deutsche Bank : So your accounts payable was high?
Zhang Longgen: Yeah. It was almost $59 million.
Vishal Shah - Deutsche Bank : Okay. And what do you think your operating cash flow will be in Q4?
Zhang Longgen: I think it we still can keep the operating cash flow positive, around $20-40 million.
Operator: [Operator instructions.] The next question comes from the line of Philip Shen from Roth Capital Partners. Please ask your question.
Philip Shen - Roth Capital Partners: You talked about 400 megawatts in China for 2013. Can you talk about the total number of megawatts you expect to ship in the year?
Zhang Longgen: For next year?
Philip Shen - Roth Capital Partners: That’s right.
Zhang Longgen: I’m not giving next year’s guidance. We will give you guidance for the fourth quarter earnings release.
Philip Shen - Roth Capital Partners: Okay. How much could new markets such as Chile, Brazil, and Mexico add in 2013?
Arturo Herrero: Probably you heard in my speech that we were gold sponsor in both conferences arranged by [unintelligible] Plaza in Chile and Brazil, so we were spending very intensive meetings with local governments, with some big developers also coming from Europe, especially Spanish companies and German [unintelligible] companies. So we expect to see a big boom in these two markets. But it’s too early to say, only because both countries are waiting still for the implementation of one of the most important laws, that is the net metering. When it happens, probably at the beginning of next year, then the market will pick up for residential. And then there are some larger-scale utility projects that are already on the pipeline for Chile, mainly for the mining companies, that Jinko has been entering several of these tenders. So it’s difficult to say when they will be successfully happening. But we expect mainly for the second half of the year, in 2013.
Philip Shen - Roth Capital Partners: What do you expect your silicon and nonsilicon costs to be in Q4?
Zhang Longgen: I think in Q3, nonsilicon costs around $0.47. We think in Q4, maybe only continue to go down maybe $0.01 or $0.02. We don’t think there’s much room to continue to reduce on the nonsilicon cost side. For the silicon costs, for Q3, the average cost on the silicon side is $22 per [unintelligible]. We see the price continue to go down. And some markets right now it even goes down to $15-16. And we think on the silicon cost side, maybe it can continue to go down $0.02. We think the total cost will go down to around $0.56 to $0.57.
Philip Shen - Roth Capital Partners: And in terms of opex, do you expect operating expenses to come down lower? If not, what would you expect them to be in the fourth quarter?
Zhang Longgen: I think the fourth quarter operating expenses will continue to go down. Third quarter is $30 million, and basically we continue to run more efficiently on the operating side, and cutting more cost. I think it will go down maybe to around $26-28 million. That’s our target.
Philip Shen - Roth Capital Partners: You talked about [tables] being stretched out in the third quarter and that contributing to your operating cash flow. Your receivables also jumped pretty aggressively. What’s your plan for getting receivables down and managing working capital overall?
Zhang Longgen: First of all, at this time, accounts receivable going up is good, because most of our [unintelligible] in Q3 is domestic in China, state owned companies. So they are based on the payment schedule. Actually let’s say 10% in the front, 20% in three months. So the payment schedule is maybe a little [unintelligible] but they pay on time. So it’s very certain on the payment terms. So we are very confident. So accounts receivable, because [unintelligible] continues to go up and if domestic in China we can continue to keep around 40-60% coming from China as the volume also continues to go up, I think the accounts receivable is [unintelligible]. And from the accounts payable side, our accounts payable actually has also improved. The ASP is 127 days. Compare the second quarter, it’s 136 days. The APS, the third quarter, is 143 days. Second quarter is 49 days. So we’ve all going to improve. Even inventory turnover, third quarter is 72 days, second quarter is 80 days. So we all go down.
Operator: [Operator instructions.] There are no further questions at this time. I will hand the conference back to Sebastian.
Sebastian Liu: Thank you everyone for joining us today, and if you need more information you can visit our website at www.jinkosolar.com. Thank you for joining us. Good bye.